Operator: Hello, and thank you for standing by. My name is Regina, and I will be your conference operator today. At this time, I'd like to welcome everyone to the Parex Resources Third Quarter Operational and Financial Results Conference Call. [Operator Instructions] I'd now like to turn the conference over to Mike Kruchten, Senior Vice President of Capital Markets and Corporate Planning. Please go ahead.
Michael Kruchten: Good morning, everyone, and welcome to Parex Resources Third Quarter 2025 Conference Call and Webcast. My name is Mike Kruchten, and on the call with me today are our President and Chief Executive Officer, Imad Mohsen; our Chief Financial Officer, Cam Grainger; and our Chief Operating Officer, Eric Furlan. [Operator Instructions] As a reminder, this conference call includes forward-looking statements as well as non-GAAP and other financial measures with the associated risks outlined in our news release and MD&A, which can be found on our website or at sedarplus.ca. Note that all amounts discussed today are in U.S. dollars unless otherwise stated. I'll now turn the call over to Imad. Please go ahead.
Imad Mohsen: Thank you, Mike, and good morning, everyone. Throughout the quarter, we have made steady progress across our portfolio, successfully executing our ambitious activity plan and delivering strong results. With the majority of our planned activity now complete or underway, that momentum is translating into stronger production performance and positioning us to deliver a Q4 production average that exceeds the top end of our annual guidance. At our core assets, Cabrestero and LLA-34, continue to see strong reservoir performance through application of secondary recovery and EOR programs that are maximizing recovery rates from the field. At Llanos 32, where we completed the Tuck-In acquisition in March, we've quickly demonstrated our ability to unlock value and deliver superior performance as the fields operator. While Eric will provide more details on the momentum underway, I will say that our disciplined execution was -- has already translated into steady production gains with current rates now exceeding 3x what we inherited at the time of acquisition. Turning to exploration, where performance this year has been strong. We delivered 5 near-field successes at LLA-74, underscoring that our strategy is generating tangible in-year production gains. And we are now looking ahead to our VIM-1 exploration prospects with results anticipated by year-end. Our financial performance for the quarter was strong despite a softer price environment. Our top quartile netbacks reflect the strength of our operating model and durability of our business, driven by favorable Colombian crude oil differentials and continued internal cost optimization. With that, I'll now turn it over to Eric to provide an operational update.
Eric Furlan: Thanks, Imad. In Q3 2025, production averaged 43,953 BOE per day, generally in line with our expectations. Building on the milestones Imad highlighted, we're now seeing strong performance carry into Q4 with October production averaging 49,300 BOE per day, representing a 12% month-over-month increase from September. This growth stems from the exceptional execution of our teams against a demanding second half activity plan, and I want to recognize their efforts. Let's take a closer look at some of the key performance highlights. At Cabrestero, we are building on the successful completion of the waterflood phase and are now executing our full field polymer implementation plan. With the project now 80% complete, we are on track to achieve full implementation by year-end. At Llanos 34, we continue to apply lessons learned from Cabrestero with ongoing optimization and waterflood expansion currently underway. By year-end, we also expect to complete the initial polymer implementation at 2 patterns on the field. At Block 32, we've seen strong production ramp-up, driven by disciplined execution. In the quarter, we delivered 4 successful development and appraisal wells, growing production from 4,000 BOE per day when we first took operatorship in April to over 12,000 BOE per day today. What's even more encouraging for LLA-32 is that we progress our activity, we are gaining valuable insights into the field, revealing even greater running room than we initially anticipated. We are looking forward to results in Q4 when we plan to spud a well in the northern part of the field, which, if successful, will derisk additional areas and expand future drillable inventory. At Capachos, our activity is progressing as planned with the first 2 -- with the first of a 2-well development campaign complete. The first well's performance has been strong with drilling underway for the second well. At the Putumayo, we are making steady progress with our activity plan set to commence in the fourth quarter. We are currently mobilizing 2 rigs and expect to spud 2 wells with commencing a waterflood pilot process and the other applying horizontal drilling concepts. The results will provide valuable baseline production data to refine and optimize our 2026 development strategy. And lastly, turning to exploration. As Imad mentioned, we spud the Guapo prospect located on the VIM-1 block in mid-October. This prospect is targeting gas and condensate, and the success here will help derisk nearby contingent prospects, confirm our egress plans for the area and solidify our gas strategy in the basin. We look forward to having preliminary results by year-end. Our near-field exploration program continues to deliver. With the fifth well now online in Block 74, the block success is contributing production in excess of 5,000 BOE per day and demonstrating the value of targeting low-risk, high success prospects. As we look ahead to 2026, we're using our sizable land position to build a robust funnel of opportunities to sustain this performance. Overall, we have made strong progress over the quarter, and we remain focused on operational execution to ensure we maintain momentum into 2026. With that, I'd invite Cam to please go ahead.
Cameron Grainger: Thanks, Eric. Despite a lower price environment, we continue to deliver strong financial performance in the quarter. Funds flow provided by operations grew modestly to $105 million, and our FFO netback was steady at $26.07 per BOE based on an average Brent oil price of $68.17 per barrel. Also supporting netbacks has been an improved operated production expense profile. While we have recently seen a slight uptick in power costs, they remain at normalized levels and have been supported by the team's ongoing efforts to deliver internal optimizations, which are proving successful. For Q4, we have hedged roughly 25% of our planned production, utilizing a Brent put spread at $60 and $65 per barrel, which is providing insulation for our cash profile in an environment where we continue to see global volatility. Current taxes were $11 million for the quarter. Given Columbia's progressive tax and royalty system and at strip pricing, we expect our full year effective current tax rate to be between 5% to 8%. Capital spending for the quarter totaled $80 million, reflecting our increased activity levels. We expect expenditures to remain at similar levels through year-end, but we may look to deploy incremental capital to carry our momentum into 2026. The decision will depend on upcoming well results where ongoing success could support additional follow-up drilling. We remain fully funded with our capital program advancing, a regular dividend covered and a modest level of share repurchases continuing. Our balance sheet remains exceptionally strong, underpinned by ample liquidity and financial flexibility. This solid financial position enables us to execute our strategic priorities with confidence while remaining, maintaining resilience in varying market conditions. With that, I will pass it over to Imad for some final remarks.
Imad Mohsen: Thank you, Cam. As we've highlighted throughout the call, we are well positioned to meet our annual production guidance and finish the year strong. The team remains focused on sustaining momentum and leveraging near-term opportunities to capture additional value and position Parex for a strong start to 2026. Achieving this has taken focused discipline and teamwork across the organization, and I want to thank all our employees and partners for their hard work and commitment. With that, I'll turn it over to Mike for closing remarks.
Michael Kruchten: Thank you again for your attention today. Before we move to the Q&A portion of the call, I want to state that we are committed to providing timely updates to the investment community on our proposed acquisition of GeoPark. But given the current situation, at this time, we will not be providing any further comments or taking questions on this matter. This concludes our formal remarks. I would like to turn the call back to the operator and start the Q3 earnings Q&A session for the investment community. Thank you.
Operator: [Operator Instructions] Our first question will come from the line of Greg Pardy with RBC Capital Markets.
Greg Pardy: I had a couple of questions, but the first is maybe just to get a better sense of what the trajectory looks like on from a unit operating cost standpoint. I know there's been some volatility. It was a lot lower in 2Q. It's up in 3Q. Just wondering how we should think about that in more of a normalized state.
Cameron Grainger: Greg, it's Cam. Yes. So we had an uptick in OpEx in the quarter compared to Q2. That's driven by a few things. Power costs in August and September increased and that impacted our non-operated LLA-34 field. Those have subsided in October and normalized. We also had the Colombian peso increase about 5% over Q2. And then we also had a small nonrecurring adjustment that we recorded in the quarter. So that's what was really kind of driving that increase of $2.50. Looking forward to Q4, with flush production coming from our operated fields and power costs more in line, we're thinking -- we're expecting our OpEx number to be around $12 to $13 per barrel.
Greg Pardy: And maybe I'll ask this question in a bit of a roundabout way. But let's just say you owned 100% of Block 34, what would be the plan? How would -- perhaps how would the development plan change from -- maybe what's in place currently?
Imad Mohsen: So let me answer that. And first, it will be a very good plan. But other than that, I'd refer back to Mike's comment. We'd rather right now not talk about the GeoPark offer because there's lots going on, and we'd rather not talk about it or answer question.
Operator: [Operator Instructions] And that will conclude our question-and-answer session. I'll hand the call back to Mike for any closing comments.
Michael Kruchten: Thank you very much, operator. If you have any questions, please feel free to contact me at parexresources.com. Thanks for joining us today.
Operator: That will conclude our call today. Thank you all for joining. You may now disconnect.